Operator: Good morning. My name is Brent, and I'll be your conference operator today. At this time, I'd like to welcome everyone to Weyerhaeuser Second Quarter 2015 Earnings Conference Call. Thank you. I'd now like to turn the call over to Denise Merle, Senior Vice President of Human Resources and Investor Relations. Please go ahead.
Denise M. Merle - Senior Vice President-Human Resources & Investor Relations: Thank you, Brent. Good morning everyone, and thank you for joining us today to discuss Weyerhaeuser's second quarter 2015 earnings. On the call with me this morning are Doyle Simons, CEO; Patty Bedient, CFO; and Beth Baum, Director of Investor Relations. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during the conference call. We will discuss non-GAAP financial measures and a reconciliation of GAAP can be found in the earnings material on our website. I will now turn the call over to Doyle Simons.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you, Denise, and welcome, everyone. This morning, Weyerhaeuser reported second quarter net earnings of $133 million, or $0.26 per diluted share, on net sales of $1.8 billion. Each of our businesses delivered solid operating results, as operational excellence efforts helped mitigate the delayed arrival of the spring building season and the continuing challenge of a strong U.S. dollar. In addition, we returned over $150 million of cash to shareholders in the quarter through repurchase of common shares. Cumulative repurchase at quarter end totaled $610 million, as we near completion of our existing $700 million authorization. I will begin this discussion of our business results with some brief comments about the housing market. Housing indicators remain choppy and the spring building season was slow to gather momentum in the second quarter as weeks of heavy rain and flooding in the South hampered building activity. However, markets gained momentum late in the quarter as the weather abated and our outlook for 2015 remains unchanged at approximately 1.1 million housing starts, which represents a 10% improvement compared with 2014. We continue to be optimistic about the longer-term prospect for housing as rising employment, strong consumer confidence, historically low mortgage rates and signs of increased participation by first time home buyers should support continuing improvement in the U.S. housing market. In addition, builder sentiment in July was at the highest level in 10 years and our customers continue to tell us they expect increased housing activity in the second half of the year. Let me now turn to our business segments, starting with Timberlands, charts three to five. Timberlands contributed $127 million to the second quarter earnings, compared with $162 million in the first quarter. Lower average sales realizations for western logs and lower earnings from timberlands dispositions more than offset seasonally higher sales volumes. In the West, export log prices remained under pressure due to the continued strength of the U.S. dollar. However, export volumes increased substantially, compared with first quarter due to seasonally improved demand from our Japanese and Chinese customers. Domestic log sales realizations declined throughout the quarter, as log markets remained well supplied due to favorable market conditions in the first half of the year. In the South, fee harvest increased seasonally as we were able to flex harvest settings around the second quarter's extreme wet weather. Average sales realizations for Southern logs were comparable to the first quarter. Second quarter included earnings of $5 million from disposition of non-strategic timberlands, a reduction of $12 million, compared with the first quarter. The Timberlands business continues to benefit from operational excellence initiatives and remains on track to meet its OpEx targets for 2015. Wood Products, charts six and seven. Wood Products contributed $71 million to the second quarter earnings, an improvement of $9 million compared with the first quarter. EBITDA increased to $98 million. Improved sales volumes and reduced operating cost enabled the business to overcome lower average realizations for lumber and oriented strand board. In Lumber, EBITDA declined $6 million, compared with the first quarter, a 5% decline in average sales realizations was mostly offset by seasonally higher sales volumes, lower Western log costs and operational excellence initiatives to reduce manufacturing cost. In OSB, EBITDA decreased by $4 million due to a 3% decline in average sales realizations. I was particularly pleased with the performance of engineered wood products in the quarter, as we reported EBITDA of $38 million, an increase of $12 million compared with the first quarter. Sales volume rose seasonally across all product lines and per unit manufacturing costs improved due to higher production volume and operational excellence initiatives. EBITDA for the distribution business increased by $5 million, compared with the first quarter due to improved sales volumes, higher product margins and lower overhead cost. Our Wood Products businesses remained relentlessly focused on operational excellence. Lumber and OSB are on track to achieve their 2015 targets. Engineered wood products is tracking significantly above its full-year EBITDA improvement target, up $26 million year-to-date compared with 2014. And our distribution business has been challenged by the severe weather in some of its key markets in the first half of the year and has work to do to achieve its target. However, this business is well-positioned to capitalize on the expanded building activity we expect during the second half of 2015. Cellulose Fibers, charts 8 and 9. Cellulose Fibers contributed $27 million to earnings, compared with $33 million in the first quarter. Pulp market stabilized during the second quarter as global inventories declined to more balanced levels. Average pulp realizations were down compared with the first quarter. As expected, maintenance expense increased significantly in the second quarter, as we completed a planned extended outage at our Flint River, Georgia mill. The outage included scheduled maintenance and installation of energy-related capital improvements. The West Coast port disruption resulted in approximately $8 million in lingering logistics costs in the second quarter, but we anticipate minimal effects going forward. The Cellulose Fibers business made good progress on operational excellence initiatives in the second quarter, including the successful startup of a turbine generator that significantly reduces energy cost at our Flint River mill. This business remains on track to achieve its 2015 operational excellence target. I will now turn it over to Patty to discuss our third quarter outlook.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Thanks, Doyle, and good morning, everyone. The outlook for the third quarter is summarized on chart 13, and I'll begin my comments with Timberlands. In the West, sales realizations for export logs to Japan are expected to improve slightly, due to increased housing demand. Although China inventories have decreased from earlier in the year, they remain at above-normal levels, putting continued pressure on prices. Domestic log realizations are anticipated to increase as a result of constrained supply due to fire-related harvest restriction. Fee harvest volumes are expected to decrease accordingly. In the South, average sales, log sales realizations are anticipated to be comparable to Q2. Fee harvest volumes are expected to increase on a slightly lower grade mix as Q3 typically carries a greater percentage of thinning volume. Silviculture costs are anticipated to increase both seasonally and because some activities had to be deferred from Q2 as a result of wet weather. Earnings from non-strategic land sales are projected to be around $10 million, compared to $5 million in Q2. Overall earnings in our Timberlands segment are expected to be slightly lower in Q3, compared to Q2. Turning to Wood Products. Although, lumber and oriented strand board prices have decreased during the month of July, the average sales realizations for this month are still higher than the Q2 averages. We expect prices for both lumber and OSB to increase in the remainder of the quarter from today's level. We anticipate average sales realizations for engineered wood products in the third quarter to be comparable to the second quarter. Sales volumes are anticipated to be seasonally higher across most product lines. Western log costs are expected to be modestly higher than Q2. We will be taking some annual maintenance downtime in our engineered wood products facilities, which will negatively affect manufacturing costs for the quarter. We expect continued improvement in the results of our distribution business. Overall, we anticipate that third quarter earnings in our Wood Products segment will be higher than the second quarter, but likely lower than the third quarter of last year. Moving to the Cellulose Fibers business, global softwood pulp inventory levels decreased during the second quarter, and we were basically in balance at the end of the quarter. However, because the industry typically plans fewer maintenance outages in the third quarter, combined with uncertainty around demand from China, inventory levels could tick up leading to some softness in pulp prices in the third quarter. We expect higher sales volumes to partially offset the potential effect of lower sales realization. We anticipate substantial cost improvement in the third quarter. During the second quarter, we had 46 maintenance-related outage days. And this quarter, we have only minimal days planned. As a result, we will have lower maintenance expense and higher productivity. In addition, now that the West Coast port dispute has been resolved, we do not anticipate a repeat of the $8 million negative effect that we experienced in Q2. Overall, third quarter results in our Cellulose Fibers segment should significantly increase, compared to the second quarter and exceed the third quarter earnings of last year. Chart 10, summarizes the results of unallocated items. Before special items, total cost decreased by just over $60 million. The largest item making up this variance was foreign exchange as the Canadian dollar appreciated from approximately $0.79 at the end of the first quarter to $0.81 at the end of the second quarter. For modeling purposes, every penny in the exchange rate is roughly $4 million on a pre-tax basis. The other large item was the elimination of intersegment profit in inventory and LIFO. This item is difficult to predict, as it fluctuates based on the level and mix of inventory from quarter-to-quarter. However, we do not expect the change of this magnitude in the third quarter. Now, I'll wrap up with some overall financial comments, beginning with chart 11. Cash flow from operations for the second quarter was $366 million or an increase of $289 million, compared to the first quarter. In addition to increased earnings, large positive variances included lower working capital, and lower interest payments, compared to the first quarter. Capital expenditures for the second quarter totaled $108 million, bringing our year-to-date expenditures to $197 million. We continue to expect total expenditures for the full year to approximate $500 million. We do not have any debt maturities until 2017 and have no borrowings outstanding under our $1 billion line of credit. As detailed on chart 12, during the second quarter, we used $154 million to repurchase our common stocks. And at the end of Q2, we had approximately $90 million remaining under our existing authorization. Now, I'll turn the call back to Doyle, and I look forward to your questions.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you, Patty. The housing market continues to gather momentum and building activity is increasing, although, it has come this year in fits and starts. Looking forward, we are well positioned to capitalize on its improvement. And we remain relentlessly focused on driving value for shareholders through operational excellence and disciplined capital allocation. Now, with that, I'd like to open up the floor for questions.
Operator: Thanks a lot. Your first question comes from the line of Mark Weintraub with The Buckingham Research. Please go ahead.
Mark A. Weintraub - The Buckingham Research Group, Inc.: Thank you. Doyle, you'd made a comment, or Patty, that you are expecting lumber and OSB prices to pick up as the quarter progresses. I was curious what informs that view, whether it's a sense of where inventories are in the channel? Is at sense that demand is going to be getting better? What would be the drivers that you are expecting to help us see lumber and OSB start moving in the right direction?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah. Mark, it's a combination of those factors. As I mentioned in my prepared comments and talking to customers, they continue to be very optimistic about housing activity. In fact, I was talking to Adrian Blocker just this morning. He was with customers as recently as yesterday, and just very optimistic about activity out there. In addition, in terms of inventories, as you mentioned, I would tell you inventories are fairly lean at this point in time. So, I think what's happened is there's been a confluence of events from the supply side, Mark, as you're very well aware of in terms of the Canadian dollar, and that's resulted in additional volume coming into the U.S. The weakness in the export – Asian export markets has resulted in an increase coming in to the U.S. That, at a time when we had a delay in the spring building season, all resulted in prices having some pressure on them. I think as demand continues to improve, supply and demand will get back in balance, and hopefully, we will see some improvement in lumber and OSB prices as we move through the balance of the quarter.
Mark A. Weintraub - The Buckingham Research Group, Inc.: Thank you. And one quick follow-up. Do you have thoughts on the potential expiration of the softwood lumber agreement and what type of implications that might or might not have for lumber markets as we go forward?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah. So, in terms of the softwood lumber agreement, as we've said previously, this is an important issue to Weyerhaeuser. There's a council of industry leaders that are discussing options for renewing the agreement and Weyerhaeuser is actively participating in those discussions. And we're very hopeful that we can reach an agreement and avoid trade litigation going forward. In terms of the implications, if it runs out in October, Mark, there's two trains of thought. One is that when that occurs, that additional supply comes on from Canada because there won't be any tariffs in place. But there is also the thought that that will not occur because of the implications that it could potentially have in trade litigations down the road. So, don't know how to play out. And again, two different trains of thought, and we'll just have to see what happens if we're not able to get a resolution in place prior to that which I think everybody is working towards.
Mark A. Weintraub - The Buckingham Research Group, Inc.: Thank you.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Anthony Pettinari with Citi. Please go ahead.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Hi. Good morning.
Doyle R. Simons - President, Chief Executive Officer & Director: Good morning, Anthony.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Could you talk about the movement of Western export log prices as you move through Q2 and then into July, and are you seeing any inflection point there? And then maybe just a related question. We've heard a lot about the risk of fires in British Columbia and the Pacific Northwest. Is that something that's actually impacting prices and volumes right now, or is that just something that we need to kind of keep an eye on in August and September?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah. So, both important issues, and let me address each of those. In terms of export markets, let me break it down by market. In Japan, we saw prices bottom in June and prices have started to move up in July. And this has been due to the improved Japanese housing demand. And to your second question, I'll get into more details on this in just a minute, the lower log supply due to – primarily due to fire restrictions. In terms of what we're seeing in China, the log takeaway from Chinese ports picked up in the second quarter, but remains at relatively low levels. Log inventories – I mean, log inventories moved down to about 3.8 million cubic meters in the second quarter, but has since climbed back up just above 4 million cubic meters. And I can tell you the softwood log imports from all regions into China are down, but as I said, the inventories remain high and we think there continue to be pressure in China in terms of pricing. Related to that in domestic markets in the West, we think domestic prices are going to rise due to the fire season. And our volumes, as Patty mentioned, our harvest volumes are projected to be down in the third quarter versus the second because of the fire restrictions. Now, let me turn to the current fire situation. And I can tell you just drive around the Pacific Northwest, it's dry out there. It almost looks like you're in Arizona as opposed to the normally wet Pacific Northwest. In terms of what's happening, the fire season started earlier this year and at least at this point, it looks like it's going to last longer than normal. If you look at the level of rainfall, it's one of the lowest levels in the last 70 years. And I can tell you most Western acres are currently under either what's called level 2, level 3 or level 4 fire restrictions. These are restrictions that are put on placed by outside regulators. Just to give you a sense, level 2 requires most operations to cease by 1 PM. Level 3 requires all operations to cease by 1 PM and further restricts certain harvest activity such as using power saws and cables, cable yarding at all times. And then level 4 restrictions are complete ban on entry to the forest. Just a couple of days ago in Oregon, a level 4 restriction was put in place in portions of Oregon. There's not been a level 4 restriction in place since 1988, just to put it in context. And that restriction impacts about 15% of our Western Timberlands. Now, that can change overnight if we get some rain or temperatures cool down and all those things. But that is the current state. And to your question, we do anticipate lower harvest in the third quarter versus the second as a result of these fire restrictions and we'll continue to monitor them and see how they play out going forward.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Maybe just to add to that a little bit, as Doyle said, the fire restrictions or the fire concern happened earlier in the Pacific Northwest than normal. And people anticipated that this may happen in some of the drier conditions, as you heard us talk about in the second quarter, led many of the mills to, and I'm talking industry now, to put in a few more logs. So, we haven't seen closures of mills at this point because of out of log downtime because they still have some inventory of logs. But I think as we get into August and into the middle of August, we'll see more of that concern, as Doyle said, if we don't get more rain in the Pacific Northwest, which isn't the forecast as we sit here today. I think it'll be something that we'll see more in the month of August than we've seen thus far in July.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Okay, that's very helpful detail. And then maybe just one follow-up on timberlands. During the quarter, we saw announcements from a few large timber owners that they would put large properties on the market. I wonder generally, are you seeing any change in institutional interest for timberlands? Is it becoming a little bit more of a buyer's market? Are you seeing any trends in prices changing? And is there an opportunity for Weyerhaeuser, as a buyer or a seller, especially in the South?
Doyle R. Simons - President, Chief Executive Officer & Director: And so I would say overall, when you step back, Anthony, the amount of activity still is generally low in the South and the West. As you mentioned, there were some facts that came on, became available in the first half of the year. I would say, most of those have some unique challenges that people will have to work through in terms of how they're going to value those. I would say, we expect more activity in the second half of the year, and I can tell you there's still a lot of money chasing deals. So no, I don't see any downward pressure on timberland prices at this point in time. In terms of Weyerhaeuser specifically, as we've consistently said we're always looking to grow our timberland, but we will continue to be very disciplined and make sure any acquisition that we make meets our appropriate level of returns and drives value for our shareholder. So, we look at everything that comes across, or most everything that comes across. And we are interested in growing but we'll continue to be disciplined.
Anthony Pettinari - Citigroup Global Markets, Inc. (Broker): Okay. That's helpful. I'll turn it over.
Operator: Your next question comes from the line of Gail Glazerman with UBS. Please go ahead.
Gail S. Glazerman - UBS Securities LLC: Hi. Good morning.
Doyle R. Simons - President, Chief Executive Officer & Director: Good morning, Gail.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Good morning.
Gail S. Glazerman - UBS Securities LLC: First, just picking up on a couple of things that have been asked, looking at the Canadian trade situation maybe shorter term tariffs are set to go down fairly significantly in August. Do you have any concerns there that that might put incremental supply in the market and weigh on pricing? If not, it doesn't look like you do, so why not?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah. As we alluded to, tariffs are scheduled to go down from 15% to 5% in August. We don't anticipate that that's going to have a big impact on the supply side of the equation but I guess we'll just have to watch it together. But our sense is that it hasn't been a, the 15%, even with the 15% we've seen, we continued to see supply come in from Canada so we don't see, we don't anticipate a significant change when the tariff changes on a monthly basis.
Gail S. Glazerman - UBS Securities LLC: Okay. And just quickly following up on the view on western logs and the fire restrictions, can you give maybe a sense, I mean have you started to see any tension in the markets at all yet? I appreciate what you are saying that it will play out more in August, but can you give a sense maybe your July pricing versus your second-quarter average? Has there been any movement yet?
Doyle R. Simons - President, Chief Executive Officer & Director: It takes a little bit of time for that to flow through, Gail, but I don't think there's any doubt that there is tightness in the market. And that's just going to increase as these fire restrictions continue. So, as we said, as Patty said and I alluded to, both in Japan and in western domestic, we anticipate prices increasing in the third quarter versus the second. And we're starting to see signs of that.
Gail S. Glazerman - UBS Securities LLC: Okay. And just switching gears to capital allocation, you have obviously exhausted basically 85% of the existing buyback authorization. Can you just give us some thoughts and perspective on how the board might be thinking about incremental allocation dividend buyback moving forward?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah, so in terms of capital allocation, first and foremost, our number one priority is returning cash to shareholders. As we've said, that's primarily going to be through a growing and sustainable dividend. In addition, we'll look to use share repurchase as a tool where appropriate. As we look forward, we'll continue to work with our board regarding our dividend. I can tell you, as you know, we've constantly raised our dividend over the past few years. And as I said, we'll work with our board to determine the appropriate dividend level going forward. In terms of share repurchase, as you said, we are approaching the completion of our $700 million authorization, and we'll work with the board on that issue going forward. As we've also said, we think long term the appropriate level of cash on our balance sheet is somewhere in the $300 million to $500 million range, and we are significantly above that at this time.
Gail S. Glazerman - UBS Securities LLC: Okay. Just one quick follow-up on that. With the recent share price decline, do you think that's something that the board may kind of factor into its thinking?
Doyle R. Simons - President, Chief Executive Officer & Director: I think the board looks at lots of factors in determining the appropriate balance between dividends and share repurchase. And that clearly would be a factor that the board would in fact consider.
Gail S. Glazerman - UBS Securities LLC: Okay. Thank you.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Ketan Mamtora with BMO Capital Markets. Please go ahead.
Ketan Mamtora - BMO Capital Markets (United States): Good morning.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Good morning.
Ketan Mamtora - BMO Capital Markets (United States): I just wanted to come back to wood products. Your lumber EWP margins look quite good, especially relative to peers. Can you talk about what you're seeing and what has been the key driver there?
Doyle R. Simons - President, Chief Executive Officer & Director: I'm sorry. I might have to ask you to repeat the question. You're cutting out a little bit on our end.
Ketan Mamtora - BMO Capital Markets (United States): I'm sorry. I wanted to ask about the lumber EWP margins. They look pretty good relative – especially relative to your peers this quarter. So I just wanted to understand what has been the key driver and what you are seeing?
Doyle R. Simons - President, Chief Executive Officer & Director: So, in terms of lumber, we were encouraged by the margins this quarter. And I think what you saw there is a combination of OpEx efforts and lower log cost that pretty much are almost – completely offset the decline in prices in the quarter. So, we're continuing to make progress on our OpEx, and that is showing up in our bottom line. And we saw some of the benefit of that in the second quarter
Ketan Mamtora - BMO Capital Markets (United States): That's helpful. And just one more, switching gears to timberlands. Can you talk a little bit about your offshore timberlands in Uruguay and how you think about it?
Doyle R. Simons - President, Chief Executive Officer & Director: Yes. So we have 300,000 acres of timberlands in Uruguay. It's about half pine and about half eucalyptus. I was down there not too long ago, and very fertile ground and the trees grow very quickly. So, it's been – we don't have many mature trees at this point. It's still fairly early in the rotation and we're spending a lot of time figuring out exactly the best way to monetize those trees through manufacturing going forward.
Ketan Mamtora - BMO Capital Markets (United States): Okay. And that's helpful. I'll turn it over.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Chip Dillon with Vertical Research Partners. Please go ahead.
Chip A. Dillon - Vertical Research Partners LLC: Yes. Good morning, everyone.
Doyle R. Simons - President, Chief Executive Officer & Director: Good morning, Chip.
Chip A. Dillon - Vertical Research Partners LLC: Doyle, I would imagine you and Patty, all of you all, are pretty pleased with the engineered wood products result. Would you say it's kind of gotten into the zone of where you were hoping it would be when you embarked on a lot of your initiatives a couple of years ago, and if not, how much further do you think we need to see that improve?
Doyle R. Simons - President, Chief Executive Officer & Director: Yes. Thanks for your comment, Chip. And we are pleased with the progress that we've made in EWP. But we still have more work to do. But the key three – three key drivers that we've seen to get us to where we are today is continuing to reduce our controllable manufacturing costs through OpEx, some lower SG&A cost and then growing profitable sales. So, to your question, we are absolutely very pleased, our team they have done a really nice job. But we're not taking our foot off the accelerator. We're going to continue to do things to improve that business going forward.
Chip A. Dillon - Vertical Research Partners LLC: Got you. And then when you look at the Distribution business, I know it tends to not really – it tends to always below margin, but sometimes it's hard to know what's going on below the surface. Would you say that's equally along the path as EWP is, or does it still maybe have a little bit further to go versus EWP?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah. It clearly has further to go, Chip, versus EWP. So, we are making a progress there. But frankly, we're behind schedule. I can tell you a portion of that was primarily due to some adverse weather we had in some of our key markets like Texas and Denver. But get to our OpEx goals for the quarter, we're going to have to hustle. We're going to have to have good execution in the second half of the year. And we're well positioned to capitalize on markets as they continue to improve. But clearly, we're not as far along in distribution as we are in EWP and still have some work to do.
Chip A. Dillon - Vertical Research Partners LLC: Great. Very helpful. Thank you.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of George Staphos with Bank of America. Please go ahead.
George L. Staphos - Bank of America Merrill Lynch: Thanks. Hi, everyone. Good morning. Thanks for all the details, and congrats on the operational excellence again. I guess the first question I had, can you comment as to what roughly you would have in your guidance thus far for the third quarter for wood product pricing? Would prices have to rise above the current run rate or the – clearly the second quarter average, and if so could you put a bracket on what kind of growth rate we'd need to see in pricing from here?
Doyle R. Simons - President, Chief Executive Officer & Director: George, where we are currently is – prices are up. So, quarter-to-date, prices are up versus the second quarter average. So, lumber prices for us are up roughly $10 versus the second quarter average. And OSB prices are up roughly $5. As Patty said in her comments, we anticipate prices will move up from this point forward, but we'll all watch that together. But because of the reasons I've said earlier, primarily driven by improving demand is our best guess and it is a guess, but it's our best guess that we'll see prices move up for the – somewhat for the balance of the quarter versus where they are today. But we are currently higher than where – than the second quarter average.
George L. Staphos - Bank of America Merrill Lynch: Fair enough, Doyle.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Yeah. And I think the price...
George L. Staphos - Bank of America Merrill Lynch: Hey, Patty. How are you?
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Yeah. When you think about prices in the month of July, they actually came down. So, we had a little bit of rally late in the second quarter in June, and then about after the 4 of July holiday, prices started to tick back down. So, the average that Doyle was giving you for July is actually a little higher than where they would be with midweek print randomly. But we do anticipate, for all the reasons that Doyle said that those prices will be going back up.
George L. Staphos - Bank of America Merrill Lynch: So, to summarize, third quarter is a decent start on an average basis, but the markets would need to see more movement, more progress relative to what you have embedded in your guidance. Is that fair?
Doyle R. Simons - President, Chief Executive Officer & Director: That's generally fair. Yes.
George L. Staphos - Bank of America Merrill Lynch: Okay. All right, thanks, Doyle. In terms of the mills, can you tell us where you think you are on the cost curve? Recognizing that we're not at – hopefully, at the precipice of a recession. I know one of the goals in the past has been to get all the mills in the Wood Products business, as much as possible, to cash break even so that when you do get into a downturn you won't be losing cash. So where do you stand in terms of getting the mills to where you want them to be on the cost curve and positioned both versus competitors and versus the macro?
Doyle R. Simons - President, Chief Executive Officer & Director: Yes. So, as you said, George, our goal is just as we say around here, be black at the bottom and that's the cost structure that we're putting in place in our Wood Products facilities. We've made progress but we've still got work to do. We've laid out specific OpEx targets. And like I said, we're making good progress on those, but by the end of this year, we'll met our 2015 targets but we've still got additional work that needs to be done over the next two to three years to get our cost structure where ultimately it needs to be, to be black at the bottom, fully capitalized on the this upturn and maybe most importantly outperform our competitors on an ongoing basis going forward. So, progress made, still lots of work to do.
George L. Staphos - Bank of America Merrill Lynch: Fair enough. Doyle, last question and then I'll turn it over. If we look at the pulp mills, and again, we're down the pike in terms of the 18-month maintenance cycle being brought in now maybe a couple of years, what continue to be the learnings that you are getting from this? How the mills come up after maintenance? Anything that you would tweak with the strategy on a going-forward basis? Any thoughts there would be helpful. Thank you.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you. So, George, I would tell you that the 18 month outage plan has been a success for us. When you take mills down, it can be difficult to bring them back up. We saw that in the first quarter as we talked about. But that occurs whether it's down over 12 months or down every 18 month. So, we are encouraged by the progress we're making on the 18 months schedule and we think that has been a net benefit to our company and to our shareholders.
George L. Staphos - Bank of America Merrill Lynch: Is there a particular challenge when you go up 18 months versus 12 months, or really no difference?
Doyle R. Simons - President, Chief Executive Officer & Director: You know I wouldn't say there is no difference, George, but you still got to take – as you and I talked about last quarter, taking these mills down and starting them back up, there is always challenges associated with that, and it may be a little more challenging if it's 18 versus 12, but we haven't seen anything systematic or systemic that makes it harder. You just got unique challenges with each one of these mills as you take them down and bring them back up. And some of them go really, really well. And some of ours have gone well and some of them, you have challenges.
George L. Staphos - Bank of America Merrill Lynch: All right. Well, thanks. Congrats – go ahead, Patty.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: George, when we look at our – and I think Flint River is a good example of that. It was not only a factor of taking a mill down for maintenance, but we were also installing some really very beneficial equipment around energy costs. And so, it's the combination of all those things. But I think it is important to your question that as we've gone through this process, there are learnings, and I would call them only tweaks that you get from just the maintenance, which is a very important piece in our Cellulose Fibers business. So, we are capitalizing on looking at the learnings as we take a mill down and bring it back up to factor that into our maintenance going forward, and that's part of our operational excellence.
George L. Staphos - Bank of America Merrill Lynch: All right. Thanks for the thoughts. Congrats on the quarter and good luck going forward.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Thank you.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you, George.
Operator: Your next question comes from the line of Mark Connelly with CLSA. Please go ahead.
Doyle R. Simons - President, Chief Executive Officer & Director: Mark?
Operator: Mark, please make sure your line is not on mute.
Doyle R. Simons - President, Chief Executive Officer & Director: Hello, Mark.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Why don't we take the next question?
Operator: Your next question comes from the line of Tyler Langton with JPMorgan. Please go ahead.
Tyler J. Langton - JPMorgan Securities LLC: Yes, good morning. Thanks. I just had a question I guess lumber and OSB prices. I guess they ticked down recently. I know it's not a big decrease, but is there anything you can point to that's maybe driving that drop?
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: You know, I think it really is just the factors that Doyle went through. We've had weaker demand from Asia, which impacts the exports that come out of Canada. We've had some changes in currency that put some headwinds there. And then I think, notwithstanding the fact that housing has been ticking up of late in terms of people have reiterated their full-year guidance for the year. The first half was a little disappointing in terms of where we thought things would be. So, as we look at housing for the second half, our guidance really hasn't changed. And since we didn't have a great response in the first half, that would bode for the second half being better. But as Doyle said, we'll have to wait and see. There's just a lot of moving parts out there with all of this, so.
Tyler J. Langton - JPMorgan Securities LLC: Okay, great. And then just, I know it's still early, but I think you mentioned CapEx of $500 million this year. Can you give a rough sense of a range where it could be for next year?
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: We really don't have a range for next year that we would give in terms of guidance at this point, Tyler. We'll do that as we approach year-end. But one thing that I would say about the projects that we're putting in, and the $500 million is a little higher than where we've been historically. But we've got some great Wood Products projects that are underway that I think will pay additional dividends as we look at bringing our costs down across that system. So, really excited about the projects that we are spending that money on, but a little too soon to tell you exactly what we'd be doing for next year.
Tyler J. Langton - JPMorgan Securities LLC: And then just a last question, southern seller prices I know, I think last quarter you were looking for maybe a, it was 3% to 4% increase. Prices have been generally flat. Do you think it's more realistic that prices are flat for this year?
Doyle R. Simons - President, Chief Executive Officer & Director: Tyler, we still anticipate that southern prices will be up kind of in line with what they've been up over the past couple of years, which would be somewhere in the 2% to 3% range year-over-year.
Tyler J. Langton - JPMorgan Securities LLC: Got it. Okay. Great. Thanks so much.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Steve Chercover with D.A. Davidson. Please go ahead.
Steven Chercover - D.A. Davidson & Co.: Thank you. Good morning, everyone.
Doyle R. Simons - President, Chief Executive Officer & Director: Good morning, Steve.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Hi, Steve.
Steven Chercover - D.A. Davidson & Co.: So, if I'm not mistaken, the Trans-Pacific Partnership trade negotiations should conclude today, and I don't think it's a highly visible piece of the puzzle, but Canada's effective ban on log exports is part of the equation. That's mainly BC, obviously. So but if BC was compelled to export logs, can you tell us how that would impact your Pacific Northwest operations?
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: As we look at that, Steve, we'll just have to see how that actually plays out in terms of what the final resolution will be. So, difficult for us really to tell what that result is.
Steven Chercover - D.A. Davidson & Co.: Has it been on your radar, clearly, Canada is a big supplier of sawn lumber. So, are there ports, for instance, conducive to log ships as opposed to lumber ships?
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: It is something that we have tracked, but it's not something that I would say we have a comment that we'd make about in terms of ports at this point.
Steven Chercover - D.A. Davidson & Co.: All right. Thank you, Patty.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: You bet.
Operator: Your next question comes from the line of Mark Connelly with CLSA. Please go ahead.
Mark W. Connelly - CLSA Americas LLC: Thank you. Hopefully, you can hear me this time. I apologize.
Doyle R. Simons - President, Chief Executive Officer & Director: We can hear you.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Go ahead.
Mark W. Connelly - CLSA Americas LLC: Great. So first question is, it's around but not really about transfer pricing. I'm curious whether your internal log prices to your West Coast lumber operations were up a similar amount to your outside log sales. Obviously, there's going to be a mix and other difference. I'm just curious how they tend to track, understanding mix and geographic differences.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: So, Mark, just to be clear, your question is related to how we do transfer pricing to our docks?
Mark W. Connelly - CLSA Americas LLC: Well, you mentioned that external log sales realizations are up. And I'm curious whether your internal log costs are up by a similar amount, and whether those two things tend to track over time. I'm not asking whether you do transfer pricing, honestly. Obviously you do.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Yes. Yeah. Yeah. Actually, they are correlated because they all come from the same geographies. There is a different mix however, as you think about what we would send exports, for example to Japan versus the grade that our domestic sawmills would use. So, directionally, they usually do track but they will not be similar absolute pricing because of the grade mix.
Mark W. Connelly - CLSA Americas LLC: Okay, that's very helpful. It's just what I was looking for. And second quick question. Does the U.S. dollar strength increase your relative interest in overseas timberland acquisitions?
Doyle R. Simons - President, Chief Executive Officer & Director: Mark, as we've said before, we are looking to grow our Timberland. We think our biggest opportunities will be domestic whether it'd be in the South or the Pacific Northwest. We'll also continue to look internationally but we're going to make sure that we appropriately risk adjust any acquisition that we would make internationally. So, that's kind of generally the way we think about it. Currencies don't move up. Currency is going to move down. So, we won't overemphasize that in any decision we may make versus acquisitions.
Mark W. Connelly - CLSA Americas LLC: Very helpful, Doyle. Thank you.
Operator: Your next question comes from the line of Collin Mings with Raymond James. Please go ahead.
Collin P. Mings - Raymond James & Associates, Inc.: Good morning, Doyle and Patty.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Good morning.
Doyle R. Simons - President, Chief Executive Officer & Director: Good morning, Collin.
Collin P. Mings - Raymond James & Associates, Inc.: I guess my first question, just Patty, as it goes back to the guidance significantly increased results in the Cellulose Fibers business. I think, Patty, you indicated in the prepared remarks that would be above last year's 3Q, so could we see that bounce all the way back up to, call it, about the $90 million or so figure that you posted a few quarters last year, or is that a bit too optimistic?
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: You're probably just a little optimistic there, Collin. If you kind of think about guidance for the Cellulose Fibers business, we were at $27 million, I believe, in the second quarter. We've got 46 days in the second quarter and, probably, less than a handful in the third quarter. So, between the maintenance expense and better productivity as we run more days, I would say that's probably going to be around just to give you some sense around the $45-ish million number. We said we will have likely lower realizations. But I would expect that to be offset by some higher volumes as well as some additional potential for cost improvement in other ways. So, I think that will help you get a little bit in the ZIP code. I think $90 million – love to have $90 million, but that might be a little optimistic at this point.
Collin P. Mings - Raymond James & Associates, Inc.: Okay. No. That's very helpful. And I guess also, Patty, just going back to Tyler's question, just thinking about the CapEx, I know it's obviously too early for 2016, but the comments as far as kind of the ramp-up over the last couple of years, should we view the $500 million as kind of a high-watermark, or do you think there's still the potential to see a higher number at some point as you continue to invest in your mills?
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Yeah, I think you would think about $500 million as being closer to the high watermark, Collin. I don't think we'd be looking at something that's significantly above that. I think last year in 2014, we were around in the $400 million, maybe $450 million. So, we have ramped that up a little bit. But I wouldn't see us being significantly above $500 million for 2016.
Collin P. Mings - Raymond James & Associates, Inc.: Okay. And then I guess just the last question, kind of going back to Gail's question earlier, just about the share repurchases. One thing that surprised me a little bit during the quarter was that there was a moderation in repurchase activity relative to 1Q, particularly in context of the drop in the share price. Anything that we should read into that or any sort of restrictions on preventing you to buy back stock during a period of the quarter? Or just can you put any additional color around that?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah, Collin, there is nothing that should be read into that. That's just where it ended up for the quarter under our program and we'll continue to report on a quarterly basis our progress going forward.
Collin P. Mings - Raymond James & Associates, Inc.: Okay. Great. Good luck during the quarter, guys.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Thank you.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you.
Operator: Your final question comes from the line of Paul Quinn with RBC Capital Markets. Please go ahead.
Paul C. Quinn - RBC Dominion Securities, Inc.: Hey, good morning, Doyle and Patty. Just a question for Doyle. You've been running Weyerhaeuser for a couple of years now, and you've had operational excellence in place for quite a bit of that time. Just wondering if you're happy with the current portfolio of assets? And besides timberlands, what business segment looks good for growth?
Doyle R. Simons - President, Chief Executive Officer & Director: Yeah. So, Collin on – I mean Paul on your first point on OpEx, we're encouraged by the progress we've made there. Still more work to do. In terms of opportunities to grow our portfolio going forward. We've consistently said, I think now, over the last couple of years, that we think our biggest opportunity to grow will be in Timberlands. But we would look at growing other parts of our company as well, if we can find appropriate growth opportunities that meet our hurdle requirements and drive value for shareholders. So, that's generally how we think about growth going forward. The beauty of it is we don't have to grow to be successful. But if we – so we can be very disciplined, we have been and will continue to be. But if we can find the appropriate opportunities to grow this company, that's absolutely something we'll look to do to drive value for our shareholders going forward.
Paul C. Quinn - RBC Dominion Securities, Inc.: Okay. Great. Thanks very much. Best of luck.
Doyle R. Simons - President, Chief Executive Officer & Director: Thank you.
Patricia M. Bedient - Chief Financial Officer & Executive Vice President: Thanks, Paul
Operator: Thank you. I'd now like to turn the call back over to Doyle for any closing remarks.
Doyle R. Simons - President, Chief Executive Officer & Director: As I understand it, that was our final question. And I would just like to thank, everybody, for joining us this morning for our call. And more importantly, thank you for your interest in Weyerhaeuser. Have a good day.
Operator: Thank you. This concludes today's conference call. You may now disconnect.